Operator: Good morning, and welcome to The J. M. Smucker Company's Fiscal 2025 First Quarter Earnings Question-and-Answer Session. This conference call is being recorded and all participants are in a listen-only mode. Please limit yourselves to two questions and re-queue, if you have additional questions. I'll now turn the conference call over to Crystal Beiting, Vice President, Investor Relations and Financial Planning and Analysis. Thank you. You may begin.
Crystal Beiting: Good morning and thank you for joining our fiscal 2025 first quarter earnings question-and-answer session. I hope everyone had a chance to review our results as detailed in this morning's press release and management's prepared remarks which are available on our corporate website at jmsmucker.com. We will also post an audio replay of this call at the conclusion of this morning's Q&A session. During today's call, we may make forward-looking statements that reflect our current expectations about future plans and performance. These statements rely on assumptions and estimates, and actual results may differ materially due to risks and uncertainties. Additionally, we use non-GAAP results to evaluate performance internally. I encourage you to read the full disclosure concerning forward-looking statements and details on our non-GAAP financial measures in this morning's press release. Participating on this call are Mark Smucker, Chair of the Board, President and Chief Executive Officer; and Tucker Marshall, Chief Financial Officer. We will now open up the call for questions. Operator, please queue up the first question.
Operator: Thank you. The question-and-answer session will begin at this time. [Operator Instructions] Our first question today is coming from Andrew Lazar from Barclays. Your line is now live.
Andrew Lazar: Great. Thanks. Good morning, everybody.
Mark Smucker: Good morning.
Andrew Lazar: Maybe to start off, you're moderating your full-year 2025 comparable sales growth by about 1 point. And a key call-out, I think you mentioned is the impact of inflation on discretionary spending, specifically on the sweet baked goods and dog snacks categories. And it seems as though there was a sort of a meaningful shift really just in the last quarter, or maybe last month or two in terms of how you see the consumer and sort of shopping behavior. So Mark, can you talk a bit more about what shifted sort of so quickly versus your initial expectations? And are you building into your outlook trends you are seeing in the business currently, or just being more proactive on what you think could potentially develop going forward?
Mark Smucker: Andrew, it's Mark. First of all, let me just start by saying we are very pleased with the quarter having grown both volume and sales and of course, our earnings per share. So we did have a solid quarter. And we saw growth in a number of places, notably, Uncrustables continues to grow, obviously, peanut butter. Bustelo has performed exceptionally well. And so we're very pleased with the growth this quarter. But as you point out, in the convenience channel, we did see a bit of an acceleration in consumers shopping less, or less frequently, in the convenience stores. And although we did see some of that earlier, it did seem to accelerate a bit in the quarter. I would highlight that with our Sweet Baked Snacks business, we do over-index in the convenience channel, and we still are growing share there. So our performance in that channel is good. But as consumers have been a bit more cautious and have less discretionary income to spend, that is why we have seen a bit of an impact on both Sweet Baked Snacks and pet snacks.
Andrew Lazar: Got it. Okay. That's helpful. And then Tucker, your previous comparable sales growth outlook was predicated on both positive volume and price. How do you see both these metrics contributing to your expected 1% full-year comparable sales growth outlook at this stage? Thanks so much.
Tucker Marshall: Andrew, good morning. Acknowledging that our outlook at this time is for 9% year-over-year growth at the midpoint. As you isolate the non-comparable aspects of acquisition, divestiture, foreign exchange and you take into account the impact of the pet co-manufacturing sales, we are seeing net sales growth of 2.5%, which is a change from our previous outlook of approximately 3%. Within that 2.5%, we're seeing about 50 basis points of volume/mix growth, and we're seeing about 2 points of pricing. Pricing has increased from our previous expectation, largely due to another round of pricing within our coffee portfolio due to ongoing green coffee cost increases.
Andrew Lazar: Great. Thanks so much.
Operator: Thank you. Next question is coming from Ken Goldman from JPMorgan. Your line is now live.
Kenneth Goldman: Hi. Good morning and thank you. One of the reasons given for the reduction in the topline outlook is, as you mentioned, the sweet baked goods category. You're still anticipating it looks like a similar contribution to sales from Hostess this year, though, at least just kind of roughly what we're seeing in the guidance in the slides. Am I reading that wrong? Or I just kind of wanted to reconcile the comment you made about the category softness with kind of what you're looking for specifically from Hostess?
Tucker Marshall: Ken, good morning. I'll speak specifically to the guidance change. So as you transition from 10% at the midpoint of growth coming into the fiscal year to now our most current outlook of 9%, that 1% change is approximately $80 million. About half of that or $40 million is coming through Sweet Baked Snacks, of which $25 million is in the first half of the year and the balance being in the back half of the year. Really, we're seeing the softness that Mark just spoke to coming through the overall category, but also through the specific channel of convenience. And then we're derisking a bit of the back half. And so that is reflected now in the guidance. The balance of the $80 million really is $15 million of pet co-manufacturing sales that are coming in less than anticipated. And again, we don't control that volume. And then the balance is really the puts and calls that we're seeing from our coffee portfolio, our pet portfolio as they sort of reset expectations due to green coffee inflation, and price elasticity of demand as our pet portfolio addresses frequency within pet snacks. And then as we think about the great momentum that we're seeing on the Uncrustables handheld partially offsetting that, is really what's embedded in that change from guidance coming into the fiscal year and where we see it now. The great thing is we're delivering growth and we're delivering a level of volume growth in this environment, and that continues to bode well for our overall portfolio.
Kenneth Goldman: Okay. Thank you for that. That's very helpful. And then a quick follow-up. To what degree do you still expect Hostess to be accretive to EPS by a few pennies this year?
Tucker Marshall: So Ken, we did step into this fiscal year and acknowledge a few cents of accretion. I think at this point, as a result of the topline revision, we are now in a dilutive state. We're probably in a range of maybe $0.05 to $0.10. The great thing is, despite the topline softness, we are seeing synergies come in as anticipated and candidly coming in better than expected, which is supporting the overall profit profile of not only the business unit, but also the total company.
Kenneth Goldman: Thanks so much.
Operator: Thank you. Next question today is coming from Robert Moskow from TD Cowen. Your line is now live.
Robert Moskow: Hi. Thanks for the questions. I guess two questions. One is in light of the tougher consumer environment, do you think that the 100 basis point cut here is sufficient? Is there a risk of further cuts to come because there's still a pretty big delta between the guidance for the back half of the year and what we're seeing in the tracking data today. And it's not apples-to-apples, but it does imply a pretty significant inflection. And the second thing I wanted to understand in the guidance is, it looked like you're cutting your marketing spend a little bit. I think you're now maybe about 50 basis points below as a percentage of sales. How did you evaluate the risk/rewards of that decision, especially considering – it looks like you'll probably need more investment on Hostess to get the brand going again and get this 4% growth rate? Thanks.
Tucker Marshall: Rob, good morning. As you think about the flow for the year, we achieved the 9% growth really being driven by ongoing momentum in the Uncrustables frozen handheld portfolio, continued success with the peanut butter chocolate innovation or launch, ongoing momentum within Café Bustelo, which continues to perform at and above expectations and seeing continued momentum across Meow-Mix. And then as you think about some of the more discretionary aspects of the portfolio, our overall pet snacks portfolio has slowed a little bit, to Mark's opening comments. I want to acknowledge that Milk-Bone is still going to demonstrate a level of volume/mix growth. And we also want to acknowledge that within Sweet Baked Snacks, we felt that it was appropriate to acknowledge some of the near-term headwinds that we're addressing, not only at the category level but also at the channel level, particularly that we're seeing in the front half of this fiscal year and then to derisk the back half of the fiscal year a bit. And that's really what is embedded in the overall outlook at the topline. We feel very confident in the overall portfolio. There's just some external factors that have affected more of the discretionary aspects of our portfolio.
Mark Smucker: Rob, it's Mark. I might just add that we still feel very good about the portfolio overall. We've taken a lot of time over these past few years to get it right. We love the brands. We feel very good about Hostess and the trajectory there. Keep in mind, too, that we will have the business fully integrated at or before the one-year anniversary of the acquisition. And from a marketing perspective, although the marketing might be down versus our expectations, we do still expect overall marketing spend in total for the company to be up slightly versus prior year, and we're being very committed to spending those dollars where they need to be spent, namely Uncrustables, supporting the launch of Jif peanut butter chocolate, Milk-Bone and then later in the back half of the year, expect to – and continue to increase marketing on Hostess. And then also as we get through integration, making sure that we can continue to drive just improved distribution. Obviously, we have very good distribution in some of the mass channels. So we'll be turning on our capabilities more fully once we get through the integration.
Robert Moskow: Mark, can I ask a follow-up to that? You said marketing will be up slightly for the full-year, but your sales are going to be up like 9% year-over-year. So are there any brands that are getting a reduction in terms of marketing support as a result of this?
Mark Smucker: I think the way I would think about it, Rob, is that with Hostess, because we're working through some new creative work, new advertising, new brand positioning, that will not be fully baked until the back half of the year. And so we will not be able to level up marketing on Hostess to the same degree that we would expect on some of our other brands.
Robert Moskow: Got it. That makes sense. Thank you.
Tucker Marshall: Rob, I would acknowledge to, in our prepared remarks, we talked about our percent of marketing to net sales being just below 5.5%, and it was around 5.5% coming into this fiscal year. So yes, we have pulled back on some marketing this fiscal year, but not in a draconian way.
Robert Moskow: Okay. Thank you.
Operator: Thank you. Next question today is coming from Peter Galbo from Bank of America. Your line is now live.
Peter Galbo: Hey guys. Good morning.
Mark Smucker: Good morning.
Tucker Marshall: Good morning.
Peter Galbo: Mark, Tucker, one question we're getting a little bit. In the prepared remarks, there was no mention on fiscal 2026. As you had kind of talked about last quarter about the ability to kind of be above the algorithm, at least from an EPS perspective, for next year. So maybe you can just touch on that a bit. Are you walking away from that? Just – was it omitted for a reason? Or how we should kind of think about the transition through this year and then into next year, if it's still the same as three months ago? Thanks.
Tucker Marshall: Yes, Pete, we are committed to the comments that we made coming into this fiscal year around FY2026. As we see ongoing base business momentum, as we see the benefits coming through our transformation office in terms of cost and productivity savings, as we mitigate or relieve stranded overhead, as we advance the second year of synergies, and we continue to pay down debt, that is going to enure to the benefit of our earnings growth algorithm. So we're not stepping away from that. Really a reflection of what today is both at the top and bottom line are some external factors that are affecting both category and channel. And so we're acknowledging that, but we're still delivering business momentum and delivering healthy profits.
Peter Galbo: Okay. Great. And Tucker, maybe you can just help us a bit more on the gross margin side, the cadence kind of through the back half of the year. Obviously, with that coming down on green coffee, but any additional color there would be helpful?
Tucker Marshall: Yes. So stepping into the fiscal year, our outlook for gross profit margin was 38% for total company on a full-year basis. We've revised that down to 37.5%. The change is solely due to taking additional pricing as a result of green coffee inflation or another round of green coffee inflation that we're seeing within the portfolio. Candidly, we are seeing a very strong margin profile in the balance of the business, either at plan expectations or slightly ahead. So that's very good for the balance of the portfolio. And then from a cadence standpoint, we delivered a really strong first quarter. We'll probably be around that 37.5%, maybe slightly better in the second quarter, and then will be significantly below that 37.5% in third and fourth quarter, kind of on an equal number in each quarter.
Peter Galbo: Great. Thanks very much guys.
Operator: Thank you. Next question is coming from Matt Smith from Stifel. Your line is now live.
Matthew Smith: Hi, good morning. Thanks for taking my question. I wanted to ask a question regarding how you're thinking about the additional price increase in the coffee category. You talked about weaker consumer behavior. You didn't mention coffee when you talked about that. But do you expect kind of the historical elasticity factor to hold as you take that additional pricing beginning in October?
Mark Smucker: Matt, it's Mark. I would say that as we've modeled the elasticity, we've been more close to right in terms of our modeling than not. And so I think we feel reasonably good about what we've modeled. I would point out a couple of things, just in general, about the coffee business. We've been here before. First and foremost, obviously, it is a commodity. It can be volatile. World demand for coffee is very strong right now, particularly for robusta's. And so that's what's driving the increase in robusta's. And when we take price, and remember, we go up and down on price, we always are prudent. We have multiple levers. We have the ability to actually flex formulas and still deliver the exact same consumer experience. So that's a lever. Obviously, trade is a lever. And in these volatile times, you do see sometimes a little wonkiness in the category. But as we've led in price, we are now seeing competition follow, which is a good thing. And that should drive a bit more stability in the category. And then finally, just still feeling really good about our portfolio, the fact that we offer options from value to premium, the fact that we have demonstrated an ability to shift our coffee business to where growth is. Previously, a decade ago, we were shifting that to single serve and K-Cup, and now shifting our portfolio over time into the cold brew or more pre-brewed liquid options. And I would highlight that our Bustelo multi-serve offerings are performing very well, initial reads and launch, and are exceeding our expectations.
Matthew Smith: Thank you, Mark, and as a follow-up to the commentary around your expectations for the sweet baked goods category, you talked about confidence in the long-term potential, still that 4% growth range. But you acknowledge the category is under pressure today given the weaker consumer environment and channel shift. I thought I heard Tucker allude to some actions you're taking in the near-term around the category and channel shift. Can you just elaborate on what leverage you have to improve the business beyond just consumers adjusting to the higher price point or the consumer environment getting a little stronger?
Mark Smucker: Fair, Matt. First, I would just, maybe from a macro perspective, highlight that snacking has continued to be a very strong category overall in all of its forms and continues – or has continued to outpace total food. And so we continue to see a lot of bright spots in the snacking. Consumers are still snacking twice a day or about 70% of consumers are eating two snacks a day. Obviously, Uncrustables is a great success story and sort of highlights the snacking. It's still here to stay. But as it relates specifically to Sweet Baked Snacks, we do have opportunities in the future to continue to expand distribution into the channels where we have the most strength. We will continue to innovate. We have a solid innovation pipeline. You've heard us talk about advertising. There's significant opportunity there as well. And maybe, just one other thing I might highlight that we get the question from the media a lot is around the GLP-1 drugs. And of course, we look at that very closely and actually have recently updated – gotten some new data and really looked at that across households and we continue to see that there is really no meaningful impact from GLP-1 drugs on this particular category. And so the softness that we've talked about is really driven, more than anything, by just this less discretionary income. And so for all of those reasons, for all of the things that we can control and that we plan on doing, we still love the brand. Even in convenience, I said earlier, we're still growing share, and we have optimism that we were going to continue to turn on our capabilities and continue to drive this thing.
Matthew Smith: Thanks, Mark. I'll leave it there.
Operator: Thank you. Next question is coming from Tom Palmer from Citi. Your line is now live.
Thomas Palmer: Good morning. Thanks for the question. I wanted to ask on Uncrustables. I think the plan has been for around $100 million in sales growth annually and that this was partially dictated by capacity constraints. Could you just give an update on growth expectations for Uncrustables this year? And then in subsequent years, is $100 million a year still the right way to think about it? Or is this perhaps changing a bit?
Tucker Marshall: Tom. Good morning. We continue to see tremendous runway in the Uncrustable sandwich and the overall brand. Had another great quarter, demonstrating double-digit growth and we are committed to the $1 billion ambition by the end of our fiscal year 2026. And so, as a result of that, we continue to bring on capacity through our Alabama facility that will be producing salable sandwiches here shortly. We continue to advance innovation. We spoke in our prepared remarks about the raspberry flavor that's forthcoming here in the next month. And so we're very pleased with the overall Uncrustables platform and direction, and it's on track to do what we've laid out. And furthermore, it continues to perform in this fiscal year being a real positive contributor to our outlook.
Thomas Palmer: Okay. Thank you. And then we've heard from some of your U.S. food peers, plans for stepped-up promotional activity to drive higher volume. To what extent have you considered a similar plan of action, especially maybe for some parts of the portfolio such as Sweet Baked Snacks or dog treats, where underlying demand seems to be a bit softer lately?
Mark Smucker: Sure, Tom, it's Mark. We have, in general, seen promotional activity return to normalized pre-pandemic levels. And so, although you may see spikes in promotions in any given category at any given time, those are, generally speaking, temporal. And so when we think about where we're allocating our dollars, whether that's marketing or in-store media or merchandising or what have you, we try to lean on our capabilities of RGM and our net revenue optimization and make sure that we're focused on putting those dollars where we really believe that they can actually make an impact.
Thomas Palmer: Okay. Thank you.
Operator: Thank you. Next question is coming from Steve Powers from Deutsche Bank. Your line is now live.
Steve Powers: Hey, great. Thank you. Going back to the second round of anticipated coffee pricing that you're putting in place in October, I'm wondering if you're able to provide a more perspective in terms of the likely magnitude of that increase and whether it will be focused on any particular channels, brands or formats? For example, both pods and ground or just ground. Just to give us a little more sense of how you're thinking about that increase?
Mark Smucker: Steve, it's Mark. I can't provide specifics around the magnitude, but what I can tell you is that it is across the entire portfolio. So that means roast and ground, it means single serve it's all brands. And so it's very holistic.
Steve Powers: Okay, that helps. Thank you very much. And then pivoting back to the slowdown that we've seen in dog snacks that's impacting Milk-Bone, it seems to have been relatively abrupt and struck as somewhat of a surprise. And I guess as you look back, I'm wondering if you now see any markers that might have pointed to these dynamics ahead of time that you might have been underappreciated or perhaps more importantly, are there factors that you're now tracking that might serve as a barometer of demand looking forward. I guess, I'm trying to get a sense of your visibility and ability to anticipate demand in this category versus kind of having to react to things more in real time.
Mark Smucker: Yes, Steve, what I would share is, first of all, Milk-Bone did grow. So our total dog snacks was down in the quarter, primarily because of our soft and chewy business was a little bit soft, but Milk-Bone actually did see some modest growth to the tune of 2% in volume. So we attribute that to, A, that we continue to support the brand; B, that it plays in most – all segments across the category in forms and occasions as well as offering products that are both premium to value. And on top of that, we launched the soft and chewy Peanut Buttery Bites that contain Jif, or co-branded with Jif, and that product, like all our innovation, currently has been performing very well. And so for all of those factors, Milk-Bone continues to perform. As it relates to the consumer, I think we've been pretty specific that this lower discretionary income primarily impacts the discretionary categories of pet snacks and Sweet Baked Snacks. And so that's where we've really seen most of the focus. And maybe I'll just leave it there.
Steve Powers: Okay. Yes, that's fair. I appreciate it. Thank you very much.
Mark Smucker: Thank you.
Operator: Thank you. Next question is coming from Alexia Howard from Bernstein. Your line is now live.
Alexia Howard: Good morning, everyone.
Mark Smucker: Good morning.
Tucker Marshall: Good morning.
Alexia Howard: Okay. So two quick brand-focused questions. First of all, on Hostess, I think you commented in the prepared remarks that you're expecting volume/mix growth in Hostess this year despite the disappointing topline results so far. What gives you the confidence that you'll be able to turn it around into positive territory this year?
Tucker Marshall: Alexia, we believe that we are in the right category. Sweet Baked Goods category is a great category, and we have the right brand and portfolio within Sweet Baked Snacking, and we're very pleased with that decision. The acquisition is on track from an integration standpoint. It's a strong brand, and we have the right focus and tactics on the portfolio. What we're seeing that's caused our topline revision this fiscal year is largely driven by the overall category and how the category has been down, but we continue to perform in the category, and demonstrating that we also have an over-index to the convenience channel and that channel has also been down in totality as well. But what gives us confidence in the portfolio is, one, is the ongoing opportunities to see stabilization in the C-store channel, ongoing merchandising and distribution opportunities within traditional retail, the ability to expand into the Away From Home channel as well, along with the opportunity to have synergies sort of come across from each business and to support one another. I will also say that we are calling down approximately $40 million, of which $25 million is in the front half. We walked into the fiscal year and we said we would be flat to slightly down in the front half of the year. We're going to be down now as a result because of the $40 million, $25 million, as I said, has come through the first half. The back half, the additional $15 million, is not simply derisking because of some of the uncertainty, particularly until we're able to see some of the stabilization and continue to advance the strategic tactics across the portfolio.
Alexia Howard: Great. Thank you. And as a follow-up, could we switch to Dunkin'. It looks as though I think volume/mix and pricing was down this time in contrast with some of your other coffee brands which did very well. Is there something going on with competitive dynamics that's specific to Dunkin'? Or is it something else that's going on with the brand?
Mark Smucker: Yes, Alexia, it's Mark. We have continued to see some competitive dynamics in Dunkin'. And I think that's really what's driving it. We still feel really good about the brand, and you know it's a pretty large portion of our coffee business. And so as pricing looks to be normalizing in the category, we would expect to see some stabilization of that over time. And then, of course, we will continue to support the brand.
Alexia Howard: Perfect. Thank you very much. I'll pass it on.
Mark Smucker: Operator, I think we're waiting for a question from Rob Dickerson?
Operator: Apologies, ladies and gentlemen, we are currently experiencing technical difficulties. We move on to our next question, which is coming from the line of Rob Dickerson with Jefferies. Please proceed.
Robert Dickerson: Thank you so much. Tucker, maybe a question for you just on pet. I mean, clearly, the profitability in the quarter was very impressive. Just kind of curious, how you're thinking about sustainability of that margin profile of the business for the rest of the year? And then also, as we think forward to the next fiscal year, right, when it seems like a fair amount of stranded overhead should still come off – like what we're seeing today, is that sustainable even for this year. Does that also imply that pet margin could be even higher next year ex the stranded overhead? That's the first question. Thanks.
Tucker Marshall: Rob. Good morning. Yes, it's nice to see the strength of profitability in our pet portfolio and the strong performance for the quarter. What is supporting that is just the positive volume/mix momentum coming across the portfolio through both pet snacks and cat food. You're seeing a stabilization in the supply chain, particularly within our cat food portfolio. You're seeing the benefits of our cost and productivity savings, the initial steps to begin realizing or removing stranded overhead. And so it is definitely a good first quarter. As we think going forward, in that 25% range, maybe slightly better should kind of continue to be the outlook for the portfolio. Again, we'll be able to sharpen the pencil on that and provide more of an update as we go through this fiscal year and into next. But again, it's a nice restoration of overall profit and margin in that portfolio as we've focused on the areas where we have the right to win in pet snacks and cat food.
Robert Dickerson: All right. Great. And then, I guess, just specifically on the lower EPS, I mean, it's not that much lower, but a little lower. I guess while I respect a little slower sales in Hostess and dog snacks for the drivers you mentioned, would you say like maybe the lion's share of that – of the lower EPS is also just off of the higher green coffee costs? And I'm kind of asking a way also because I'm trying to understand clearly a pass-through category, depending on the environment, right, maybe you can price a little bit more and you could even manage the flat profit dollars versus a lower margin, but now I have a little bit of a lower margin, at least on the growth side for the year, but then a little lower profit dollars, right? So it almost seems like kind of treading really carefully from my perspective on the pricing side just kind of given the consumer environment. Thanks. That's all.
Tucker Marshall: Rob, we didn't hear the initial part of your question. It came in very faint. But what I thought I heard was the change in the midpoint of our adjusted earnings per share guidance range of approximately $0.20 to sort of how did that break down? Was that the question? I just want to make sure we answer...
Robert Dickerson: Yes. I mean that's – yes, that's a simple question. And I'm also just trying to figure out if you're treading a little carefully on the pricing dynamic in coffee, right? So maybe not flat dollar profit in the back half, right, but maybe a little lower margin and a little bit lower profit from coffee. So kind of what's the breakout? And then like what is the thought process on the amount of pricing you would be taking in coffee relative to the consumer environment? That's all.
Tucker Marshall: Yes. So there's a lot to unpack there. Why don't we just sort of start at the highest level. The $0.20 change in the midpoint of our previous guidance range from $10 to $9.80. When you break that down, it's approximately $0.25 reduction from topline or net sales. It's approximately a $0.35 gross margin impact, which is largely coming through your coffee portfolio, if not all. And then that is being offset by $0.40 of SD&A favorability which over-indexes to administrative support and then to a level of marketing. As we think about sort of the coffee dynamic, what we had to do is acknowledge rising costs, recover those costs on a dollar-for-dollar basis on an appropriate pass-through way. And as you know, we passed through both inflation and deflation as we see it on green coffee. And then what we have also acknowledged is a price elasticity of demand associated with taking that additional round of pricing in order to recover these costs.
Robert Dickerson: Okay, that's perfect. Thank you so much.
Operator: Thank you. Next question is coming from Max Gumport from BNP Paribas. Your line is now live.
Max Gumport: Hey, Thanks for the question. First one is on the dog treats weakness that you called out. So it sounds like what you're seeing is primarily a consumer dynamic with regard to discretionary income pressure. But I'm wondering how retailers are reacting and if you're seeing any reductions in order patterns or inventory getting worked down? Thanks.
Mark Smucker: Max, this is Mark. Could you repeat the second part of your question, please? I got the first part about, which I'll answer about dog snacks. What was the second part?
Max Gumport: Yes. The second part was on dog snacks, but it's wondering if how retailers are reacting to this consumer pressure? Are they reducing inventory of dog treats given the discretionary income pressure? I'm wondering if there's more weakness coming given what you're seeing from a retailer order pattern.
Mark Smucker: Yes. Got it. On that latter part, I don't think we've seen any meaningful inventory reduction on dog snacks. It seems to be business as usual. I think what's driving a little bit of the slowdown is, again, the less discretionary income, which is leading to less frequency of buying, right? So pet parents are still treating their pets, treating their dogs, with less frequency. And so that is truly just driven by the economic environment and the lower discretionary income.
Max Gumport: Got it. Thanks. And then switching to Hostess. I just want to better understand your comments on derisking Hostess for the year. So you mentioned the $40 million cut to your full-year expectation, which is really a 3% cut to your prior topline expectations. Trends so far this fiscal year versus your initial expectation for flat to modestly up in the first half look well more than three points below where you had expected to be. And so I'm just wondering what's giving you the confidence, especially in that back half that you've really derisked it and that you've taken down numbers enough, particularly given the pressure you're seeing is category and channel related and it feels like it's a bit out of your control for this fiscal year? Thanks.
Tucker Marshall: Max, I think you framed in the $40 million, as we've said, a $25 million reduction to the front half of the fiscal year. Coming into the fiscal year, we acknowledge that we would be flat to down in the front half and then in the back half, we would be up. And so we're calling down the back half about $15 million. We'll still have a level of growth in the back half. But then I think on a full-year basis, it's going to feel sort of flattish. What gives us confidence in the portfolio is, one, the category. We're in the right category. Two is, as we can continue to see some level of stabilization or moderation in the C-store channel, excuse me, as we think about getting to an integrated state here in the fall, will enable us to sort of be on one system, one platform. We've always been one team, but will truly be one team. And then acknowledging too, that we can continue to work through merchandising and distribution in the traditional retail channels, both of Walmart grocery, Club as well as the Dollar channel. And then you can also think of the opportunity to continue to advance growth in the Away From Home channel as well. And so we continue to have the right tactics against the portfolio and are very confident not only in the brand but also in our participation in the overall category.
Max Gumport: Okay. Thanks very much. I'll leave it there.
Operator: Thank you. We reached end of our question-and-answer session. I'd like to turn the floor back over to Mark for any further closing comments.
Mark Smucker: Thank you all for your time today and for joining our call. I just want to reiterate how pleased we are with our strong first quarter results and our transformed portfolio continue to be resilient in this dynamic consumer environment. We remain confident in our strategy and our success continues to be powered by our dedicated employees who, as always, I would like to thank for their outstanding contributions. We hope that many of you will be able to join us in Boston at the Barclays Global Consumer Staples Conference next week. A live webcast of our presentation on September 3 at 12:45 can also be accessed from our Investor Relations website. Have a great rest of your day. Thank you.
Operator: Thank you. That does conclude today's teleconference webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.